Operator: Welcome to the BlackBerry FY '16 Q3 conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Joe del Callar. Please go ahead.
Joe del Callar: Thank you, Operator. Good morning. With me on the call today are Executive Chairman and CEO, John Chen and Chief Financial Officer, James Yersh. After I read our cautionary note regarding forward-looking statements, John will provide a business update and James will then review the third quarter results. We will then open up the call for a 30 minute Q&A session. In order to let as many people as possible ask questions, please limit yourself to one question. This call is available to general public via call-in numbers and via webcast in the Investor Relations section at BlackBerry.com. A replay will also be available on the BlackBerry.com website. So in the statements, we will be making today constitute forward-looking statements and are made pursuant to the Safe Harbor Provisions of applicable U.S. and Canadian securities laws. We will indicate forward-looking statements by using words such as expect, will, should, model, intend, believe and similar expressions. Forward-looking statements are based on estimates and assumptions made by the Company, in light of its experience and its perception of historical trends, current conditions and expected future developments, as well as other factors that the Company believes are relevant. Many factors could cause the Company's actual results or performance to differ materially from those expressed or implied by the forward-looking statements, including the risk factors that are discussed in the Company's annual information form which is included in our Annual Report on Form 40F and in our MD&A. You should not place undue reliance on the Company's forward-looking statements. The Company has no intention and undertakes no obligation to update or revise any forward-looking statements except as required by law. I will now turn the call over to John.
John Chen: Thank you, Joe. Good morning, everybody and welcome to our third quarter results conference call. I'm pleased with our progress, obviously and the growth in Q3. More importantly, our results demonstrate that we're executing on the turnaround strategy. We delivered positive results across the board and I will cover that in more detail. First, a brief summary of our overall results. The total revenue was $557 million. That's up 14% sequentially over Q2. Total software and services revenue was $162 million. That's up 183% year-over-year and up 119% sequentially over Q2. Organic software license growth was very strong, came in 43% growth year-over-year. We generated $15 million of free cash flow and $114 million of EBITDA. This is in a quarter where we launched the PRIV, our latest phones and step up investments, not only in the PRIV launch, but in the growth area like software. I would like to highlight that this is our seventh consecutive quarter of positive free cash flow and eighth consecutive quarters of positive EBITDAR. The non-GAAP loss came in at $0.03 per share. The ending cash balance was a little over $2.7 billion. This takes into account the positive cash flow we generated, offset by $636 million used in the AtHoc and Good acquisitions combined and $10 million worth in stock repurchases in the quarter. As usual, James will take you through the financials in detail. Now let me dive deeper into the quarter and review the progress, we're making in our main area of focus. First, I've emphasized for some time, the importance of growing our device business profitably. Just to recap a few things that we have done, to address the direct cost, we have, of course, reduced infrastructure and streamlined the supply chain. In addition, we have been focusing development on our so-called value-added. A good example would be like security and privacy features, as well as our leveraging what is available in the industry. [Indiscernible] is a great example for that. Look for us to expand on this concept, as we move forward. On the revenue side, we have been focusing our portfolio on the -- both the mid-range and high end of phones with higher ASP. And that's -- you could see that and James will take you through that later on the ASP numbers. And gross margin to drive the profitability growth. This past quarter, we delivered PRIV on schedule, in line with our overall plans. We launched in North America on November 6 with AT&T which has exclusivity in the U.S. market for 60 days. We also, at the same day launched with our three main Canadian carriers, Bell, Rogers and Telus. We also made limited quantities available on Shop BlackBerry, Amazon and in the UK through Carphone Warehouse. The roll out continue at the start of this month, with major carriers launches planned for EMEA and APAC, as well as with additional carriers in North America. By the end of February, PRIV will be available in 31 countries, versus 4 at the end of Q3. I mentioned earlier that the step up investment we made in the PRIV launch. Two main areas that we spent quite a bit of attention and resources on, are in the creative content and the joint marketing program with major carriers and distributors to ensure a successful roll out. And I'd invite you to go to our website to look at some of these examples. Although it's early, with less than a month of PRIV sales in Q3, we're seeing positive feedback and good demand thus far. I'll give you some of the accolades that we received. According to the Google trends, PRIV is the number one tech topic in Canada in 2015. CNET said the combination of the sliding physical keyboard with Android makes PRIV the best BlackBerry ever. The Wall Street Journal named PRIV one of the best Android phones on the market. And these are just a few examples of that and we received many, many more. So on the BB 10 front, we're on track to release our Version 10.3.3 supporting our NIAD certification for the government in our fiscal Q1. 10.3.4 will follow later in the year. These releases is designed to further demonstrate and differentiate BB 10 as the industry most secure device platform. For Q4, I'm expecting sequential revenue growth in device and higher gross margin. Depending on how PRIV does in Q4, there's a chance -- I mean, I'm being warned by a lot of people -- there is a chance, we could achieve or get closer to breakeven operating profitability for our overall device business in the quarter. The next area of focus are our enterprise software business and IP licensing. But you could see from the results, we delivered strong results in both of these areas. Total software and service revenue was $162 million, an increase of 183% over last year. The organic growth in software license revenue was 43%, mainly driven by BES12 and QNX. We had over 2,700 customer wins in the quarter, with strong performance in the regulated industry. In financial services, we have major wins with HSBC, the Depository Trust and Clearing Corporation and Berenberg which happens to be an AirWatch replacement. These are all cost platforms and HSBC is an enterprise-wide deployment. One of the largest law firm in the world, Skadden Arps, is expanding its use of WatchDox, highlighting the strength of our secure content platform in the legal industry. In the quarter, we also saw continued investment from our government customers, including the United States Department of Defense, the DEA, the Drug Enforcement Agency, who uses by the way the BBM Protected and St. Louis County for AtHoc. And speaking of AtHoc, we completed our acquisition in the quarter of both Good and AtHoc and their contributions to revenue were in line with our expectations. Integration activities are in full swing and we're ahead of schedule with product road maps and go-to-market plans. Our sales -- those teams are now combined and engaged and actively building joint pipeline. Both of these businesses bring us increased scale in the market. We now have leading market share at over 19% of the EMM market, the Enterprise Mobility Management market, according to the IDC's latest research. Earlier this month, we were named a leader in the Forrester Wave on Enterprise Mobile Management. Good and AtHoc also help us build a subscription and cloud-based business model. Our overall software business is running at about 70% recurring, AtHoc and Good both have a high percentage of revenue from recurring or subscription business. Our plans call for our overall software business to be above 80% recurring later next fiscal year. Finally, in software, we have other growth engines that are doing well. Secusmart [ph] and QNX as I mentioned earlier are both performed well and make strong contribution in Q3. We're waiting for Movirtu, that will come in and add to the revenue picture, when we roll that soft SIM technology with carriers in -- and roll out the soft SIM technology with carriers in the FY '17. Currently, we're running trials with major enterprise customer in partnership with Vodafone, [indiscernible] and is --which also happened to be another launch partner. And we have many other carriers around the world we're working with at this point. On IP, let me spend a minute on that. Recall that this is one of the areas that I've highlighted last quarter as an areas of focus. We were successful in closing a number of licensing agreements, generating a total of $53 million in revenue for the quarter. Notably, the largest agreement was structured with an upfront payment. And starting in FY '18, we'll have a recurring component for up to 10 years. We'll continue to focus on making our IP portfolio a recurring source of revenue and profitability, although for those people who follow the IP licensing business, it will take some time to ramp up. To close, the quarter was quite solid across the board. Some of the areas, I'd like to bring your attention to or some of the highlights or observation maybe, I'd like to bring your attention to. First, we delivered double-digit sequential growth. The first time in nine quarters, total revenues had grown sequentially. Secondly, we secured significant IP licensing agreements with a recurring component. Third, we had a very strong 43% organic growth in our software licenses. Fourth, what I thought was the most important point, that I don't want anybody to miss -- and certainly I didn't want to miss myself -- for the first time, our software growth this quarter more than offset the decline in SAF revenue. We expect the software growth to more than cover the SAF decline again in Q4. As you will recall, this was a strategy that we have articulated at the launch of the BES12 in November of last year. We still obviously have a lot to do, but I believe we're set up well for a strong finish to FY '16. I would like now to turn the call to James for a detailed look at our financials.
James Yersh: Thank you, John. Good morning, everyone. Today we reported Q3 GAAP revenue of $548 million and a non-GAAP revenue of $557 million, with a GAAP loss per share of $0.17 and a non-GAAP loss per share of $0.03. Our non-GAAP income statement presentation excludes purchase accounting deferred revenue write down, stock compensation expense, one-time expenses and amortization of purchase intangibles. My comments on our financial performance, as we did last quarter for Q3 will be based on non-GAAP terms, unless otherwise specified. For a reconciliation between our GAAP and non-GAAP numbers, please see the earnings press release and --supplement published earlier today. Now let me begin with the income statement. Our total revenue for the third quarter was -- of $557 million, excludes the impact of $9 million purchase accounting deferred revenue write down for WatchDox, AtHoc and Good. Software and services represented 29% of revenue and grew over 180% on a year-over-year basis including IP. Roughly 70% of total software revenue including contributions from Good and AtHoc was recurring in nature. Revenue also benefited from several IP deals, the largest of which has an annual recurring component that will start to contribute in FY '18 for a period of 10 years. Service access fees or SAF were 31% of revenue. The sequential SAF decline of 18% was slightly above or ahead of our expectations, of an approximate 15% quarter-over-quarter decline. We're modeling the sequential SAF decline to be roughly 18% next quarter as well. We also expect this decline to be offset by sequential growth in software revenue in Q4, as John highlighted. Lastly, our hardware and other businesses represented 40% of revenue. This quarter, our focus in hardware was on the higher end market with PRIV. As a result, we recognized revenue on approximately 700,000 units, but ASP rose to approximately $315, compared to $240 last quarter. Turning to margins, gross margin was 44.9%, up from 40.9% last quarter. Gross margin increased sequentially due to strong performance in IP licensing which was slightly offset by lower hardware volume and continued decline in SAF. Our model continues to reflect a gross margin of approximately 40% next quarter. Operating expenses were $280 million, down from $368 million in the same prior year quarter. Our non-GAAP operating expenses exclude $33 million in restructuring and acquisition charges, $18 million in amortization of acquired intangibles, $14 million in stock-based compensation and the non-cash credits of $5 million from our convertible debt. As a reminder, this non-cash adjustment has no impact on the face value of our debt, on our liquidity or on our operations and cash flow. Operating loss was $30 million, largely due to amortization expense of $144 million. Our adjusted EBITDA this quarter which excludes restructuring charges, debenture income or the credits and stock comp was a positive $114 million. In the quarter, we had a non-cash tax recovery of $31 million for Q3. Now moving on to the balance sheet and working capital performance, total cash, cash equivalents and investments ended at $2.71 billion. This reflects $636 million in net cash used for the purchase of AtHoc and Good Technology and $10 million used for share repurchases. Our net cash position is $1.46 billion. Aggregate contractual obligations which includes purchase orders, operating lease obligations, interest payments and other goods and services utilized in operations amounted to approximately $1.1 billion, down from $1.6 billion in the same year ago period. Purchase orders with contract manufacturers represented $298 million of the total, down from $565 million in the same year ago period. Moving to the cash flow statement, we generated positive cash flow of $15 million in the third quarter. This result reflects the increased investments we made in working capital leading up to the PRIV launch. This is our seventh consecutive quarter of positive free cash flow. Looking forward, we expect to maintain our positive free cash flow and positive EBITDA. And that concludes my comments and I'll turn the call back over to John.
John Chen: Thank you. Thank you, James. So before we go to Q&A, I'd like to share some thoughts on our outlook for Q4 and going forward. We will continue with targeted investment to drive growth in software, as well as our additional PRIV launch of [indiscernible] growth. As a result, I anticipate a sequential growth in software, hardware and messaging revenue. Timing on the IP licensing transactions tend to be more difficult to predict, so we are not modeling any significant IP revenue in Q4. However like in Q3, our sequential growth in software should more than offset the loss of SAF revenue or the decline of SAF revenue. Taking all this into account, I expect total Q4 revenue to be about the same level as Q3 or slightly above. On profitability and EPS, I'm comfortable with -- we'll do better than the current Street consensus of $0.11 loss in Q4. Even with this step up level investment, I expect we will continue to deliver positive free cash flow and positive EBITDA for the foreseeable future. Lastly, I'd like to reiterate our full year goal of achieving $500 million in software and service revenue. We expect to achieve this, while we're accelerating the transition to a higher mix of subscription revenue in our software businesses. So now I would like to open the call up for Q&A. Can, operator, could you please administrate that?
Operator: [Operator Instructions]. Our first question will come from Maynard Um, Wells Fargo.
Maynard Um: So I just have a clarification. You have amortization of royalty payments of, I think around $40 million starting to roll off next quarter and I think that grows in the quarters beyond. But your guidance of 40% gross margin suggests maybe that this isn't happening. I was wondering if you could just clarify that? And then, my real question is really just around the hardware business. I guess, why stay in a hardware business, given sort of the -- where you are in the ASPs? I mean, generally it's a pretty challenging market, with ASPs kind of heading in a downward direction? And in the past, you've said that you would look at strategic options, if this business wasn't kind of running where you wanted it to be. Is breakeven an area where you would consider staying in this business? Or would you consider strategic options and when should we start to get some decision around that? Thank you.
James Yersh: Okay. So Maynard, it's James. I'll answer the first part of the question on margins and then John can answer the second part. So our guidance on margins does include -- let's call it, that step down in fixed cost in hardware as you mentioned. Now what's offsetting that definitely is the continued SAF decline and a little bit of an accelerated rate that we guided. But also remember, in terms of PRIV and some of the benefits from that, we're still rolling out -- there's still another step in the story if you will, another chapter in the story on PRIV, as we go through the quarter. So we do have some benefit. We have some headwinds. And overall, excluding IP, 40% still feels good in terms of our models.
John Chen: Right. And I'm sure that we'll try to beat that number, but I think that number is sensible, at 40%. So Maynard and it's a great question. First of all, my first goal is to get us into a breakeven position with the device business, because you really couldn't do anything strategically if, as a Company just, as a business that continued to lose money and so forth. So but I think we're really in the shouting distance of that. And maybe next quarter, maybe a quarter later, but we're in that ballpark now. And I've been very vocal about the fact that, if I can't get there, I don't -- I would not keep taking my investors through that and so that, that I will continue to maintain. There are many other strategic options, if we want to explore. But at this moment in time, where I'm looking at it, I could get to breakeven and I could start making money. And this concept of us adding value on top of Android has been a relatively well-received concept. Numbers will tell us, I mean, but the initial 30 days so to speak has been quite positive. And I don't want to hype that situation. And it is an expensive phone for us and it is a high ASP number. So with that, I'm going to continue to drive it. Some of the stuff that you talked about earlier, rolling off some of the amortization will help us, because it will improve the margin and reduce the cost of goods. Some of the areas that we have planned and have been working hard on, will start coming to -- into play. So I think there's a good chance that we'll do well in the device business and we'll continue. In addition to that, there are a number of government agency and very big customers relying on us to maintain that product road map, so we shall see. This is a -- it looks good right now, but I keep all my options open.
Operator: And the next question will come from Rod Hall, JPMorgan.
Unidentified Analyst: Hi, this is [indiscernible] on behalf of Rod. Thanks for taking my question. On the software side, I was wondering how much revenue did you see from Good in the quarter? And on the devices side, what's the level of scale in the smartphone business to make it sustainable?
John Chen: I missed the device number. But what was the question on device, sorry, I missed that?
Unidentified Analyst: On devices, what is the level of scale in the business to make it sustainable?
James Yersh: What scale to make it sustainable?
John Chen: I'll let you answer that. I don't -- but let me answer the software question. We do not want to break out the Good Technology numbers, but let me repeat one of the guiding -- guidance we said. We expect $160 million of revenue from Good Technologies in the next 12 months, since a month ago, so I think you could summarize that number. It's definitely is in that ballpark.
James Yersh: Okay. And on the devices question, last quarter I think we publicly said it was around five million units. And if you think of that number, it's a combination -- the ASPs are going the right way, as you saw from our results in the quarter. So that number overall, I think is still reasonable. We still have work to do on fixed costs and OpEx and everything relating to that, but I think in something in that range still makes sense.
Operator: And the next question comes from Steven Li with Raymond James.
Steven Li: So just to make sure that I've got my numbers right. So the $154 million in software revenues -- so you said $53 million is from IP licensing and the organic revenue was $81 million, given the organic growth rate you've given us. So that leaves about $20 million for M&A, James?
John Chen: Yes, well as I said I didn't want to break out the number, but I think you're in the right ballpark. You're pretty good. So I think you're pretty good on that numbers.
Steven Li: And John, one question, so when the IP licenses that have a recurring component, so do you include that in your recurring percentage or do you leave it out? The IP license?
John Chen: Yes. We do not include it, no.
Steven Li: Okay, so you leave it out, okay. And then one last question for me, maybe an update on the number of subscribers? I think last quarter, it was around 30 million.
John Chen: Yes, we have to look that up. One second.
James Yersh: It's about 25 million.
Steven Li: 25? Okay, great. Thanks, guys.
Operator: The next question will come from Richard Tse with Cormark Securities.
Richard Tse: Just a quick question on the addressable market here. You guys are moving into a lot of different areas on the software side. You've got WatchDox, AtHoc, MoVirtu is coming. Can you give us a sense of the relative size of those markets, relative to the existing -- call it BES business today?
John Chen: Relative size?. I'm sorry, say that again?
Richard Tse: Just like a sense of the addressable market opportunity for those products?
John Chen: Well I don't really have an answer for -- a numerical answer for a number. Obviously, the EMM market are huge and the secure voice market. And what we have been seeing, the growth rates are very high, the interest levels are extremely high. In fact, we started with government agency -- and major governments like the German government and so forth, it's now being requested, our presentation all over the world in the government space. I'm also starting to see -- major enterprise around the world, would like a secure voice technology. So that's a big one. And so is messaging, both in the protected world, as well as in the commercial world. So and the emergency allege like AtHoc has. You'll hear more about that opportunity coming through, but all those markets are quite big, as they are not niche market. Soft SIMs and I'm going to have to experience that, we're just starting to roll it out. We have three major names in the world running the trial right now. All of the early feedback so far early on, are all great. They love it. And but that, I'm going to have to study a little bit more. It is not, it's an early market for soft SIM. I think there are only two players in the world, including us.
Richard Tse: Right. And just sort of switching gears here, you didn't really go into too much commentary about QNX and what you're doing around the IoT area. I think that was an initiative that you talked about--
John Chen: It remains very bullish on QNX. We're winning a lot of designs. You will see a roll out of demonstrations of new technology as well as rollout of product at CES. I hope you're going to CES. So I'm going to leave this mystery for CES which only two weeks away from now.
Operator: And the next question comes from Paul Treiber, RBC Capital Markets.
Paul Treiber: In regards to the pricing and margins on the PRIV, without getting into specifics, how do you see pricing and margins in the PRIV trending through its life cycle? What are some of the strategies to sustain the pricing power through its life cycle? And then can you just contrast that versus what you've seen with other BlackBerry 10 devices?
John Chen: Good question. So we have a model obviously, of pricing. I think the pricing will hold pretty strong for the next quarter in Q4. We already have seen some of the POs coming in. Especially in new introductions, margin is usually pretty strong. But I'm not -- but you all know the market very well. In about Mobile World Congress time, we will see introduction of new technology from our competitors. We have maybe a midlife kicker coming in around that time, but I expect ourselves to have to reduce our price to be competitive. We do have some unique features at PRIV, as being well-received especially in the security world, in the privacy world. But we obviously won't fool ourselves to expect that they will continue to maintain the high prices that we could get today. So we have our natural trend and a model that goes through 12 months out and then after 12 months, we're going to have to reexamine that.
Paul Treiber: And then just a quick follow-up to that. Could you speak to the enterprise interest in the PRIV? And then the timing of process for Enterprise certifications? And I'll leave it at that. Thanks very much.
John Chen: We've been focusing on carriers for the last three, four, five, six months and the distributer channels. Just about last month, we started moving into enterprise. We're -- we now have an effort to go after enterprise both, in two tiers, both in the high end tiers, that are the direct buy, as well as the small and medium enterprise space. We're also rolling out our installment plan or whatever it is called, installment plan, you pay by month for PRIV. So that will be hosted through the ShopBlackBerry.com. So we, there's a number of things that we're doing and the interest has been very, very high. I've been speaking with a number of enterprise customers and they are all interested looking at it and running it. So I'm comfortable that we're going to see some activities there.
Operator: The next question will come from James Faucette, Morgan Stanley.
James Faucette: A couple of quick questions, A, a clarification, as you talk about revenue being similar in the next quarter, to here in the November quarter, are we getting that by excluding any potential licensing deals, by getting the sequential increase in software?
John Chen: Yes.
James Faucette: Offset that? Am I understanding that correctly?
John Chen: Yes, we did not include any licensing deal in Q4.
James Faucette: Right, okay. And then, just a question as you think more long term about the evolution of all of the software platforms that you've now have and bringing those together, but at the same time, your R&D spending continues to come down very rapidly, especially considering the number of acquisitions that you're integrating. How should we think about the pace of integration and the need to integrate and when we -- and if you're getting real sales synergies yet? Or when we should start to expect those? Thanks.
John Chen: The sales synergies, especially between our -- the BES12 sales force and Good Technology sales force is already happening. We expect to have one -- other than QNX, we expect to have one enterprise platform which are -- the base of that which are the BES12 as an MDM solution, built on top the Good Technology container solution, as well as the app servers and being on top of the various surfaces including WatchDox and all of the messaging technology on top. So it will be one complete integrated platform. Other than the QNX which is a different market altogether. So that's how you should think about it. And we expect to at least, in the first couple layers to be done in within 12 months of our integration, where we -- and acquisition of Good. So we feel very comfortable with that. Engineering people is hard at work at that. So no, I don't believe in -- the other, we save a lot of engineering costs in device, when we move to Android, at least in the next new phone with Android. So because of the fact that we don't have to do everything ourselves, and especially in some of the operating system world other than hardening of that. So the spending is in -- it's in the right place.
Operator: The next question comes from [indiscernible], Sterne Agee.
Unidentified Analyst: Two questions, one on the EMM side just wondering if you can give any kind of sense of contribution or traction in non-core BlackBerry customers? If you've really gotten any traction outside your sort of core base? And then I have a follow-up, please?
John Chen: Okay. And the sales force are assigned -- very much focused on the enterprise -- not the enterprise -- the regulated industry. So there are, of course non-core coming in, because between us and Good, there are many carriers out there that actually have been using and reselling some of our technology, carriers and distributors. So that continues to happen. But so far, our immediate plan of the integration is go back to all our core customers and renew their businesses with us. And I just want to remind everybody there is probably over 20,000 customers between Good and BES that are in the Enterprise space. So I think there are plenty of space for our sales operation, our sales force to take advantage of.
Unidentified Analyst: And then, just a question on the PRIV, I don't know if it's too early to know, but do you get much sense of who the customer is buying these? And I guess, it's sort of a question -- are people buying it as the latest, greatest BlackBerry? Or do you find you're that actually getting any kind of a new customer and it matters more, when you look past the first quarter or two at longevity here, can you get a sense of who the customer is? Thanks.
John Chen: Yes, we have. You would expect us to have those intelligence. The early on -- are obviously dominated by BlackBerry customers, but we're seeing some other Android customers over and a small percentage of iOS.
Unidentified Analyst: All right. Great, thank you.
John Chen: Sure. Okay I'll have to take the last question, because time is running out a little bit so.
Operator: And the final question will come from Michael Kim, Imperial Capital.
Michael Kim: So with regards to the integration of sales force with Good, you talked a little bit about the expansion of the pipeline and the synergies. Is that primarily driven by net new or cross selling within the existing base? And in regards to the customer feedback, what kind of questions are you getting on the product road map?
John Chen: I've been talking to a lot of customers -- and although I've been talking to customers mainly in the financial vertical personally, in financial vertical and governments and customers and they are all very excited. I mean, I have not heard one customer and tells me, I don't know what in the world you guys are doing. So they understand the road map. They are very positive about this combination. And the only question I hear is, when will they get the combined platform? So I spend most of the time laying out in Q1, you are going to get this, in June, you're going to get that. And obviously, we're going to make it one integrated platform, with one NOC. Again, it's just going to be within 12 months. And so, we're working hard at it. And they are all satisfied, with not only the concept, the technology, as well they are satisfied with the road map timing.
Michael Kim: And is the synergies also driving net new customers, is that becoming a significant part of the pipeline growth?
John Chen: Yes. There are a lot of new customers on our list. Being a leader now in market share, we're attracting a lot of attention. Some of our competitors, we're replacing. I don't want to get much into this. It's not verbiage war [ph] that I want to start, but we do have some strong replacement of competitors.
John Chen: Thank you. Okay, so let me wrap up. And I thank you all for the questions and the interest in our going forward strategy so and thank you for joining the call today. And as I said earlier, we look forward to seeing you all in CES, early next month in Vegas. And there we will highlight our initiative in IOT and a new product that will come out, it will be introduced and QNX in-car applications. And we have a lot of new partnership by the way -- I just forget to mention earlier, last couple of weeks we have been announcing steadily, some new partnership in -- when some cases are the self-driving cars, whatever the right word is the auto driving cars, so whatever they call. Anyway, so we have that and you are going to see our advanced drivers assist technology and solutions. You can experience it yourself at the booth. So I look forward to seeing you all. And I wish you all happy and safe holidays. Until then, thank you very much.
Operator: Thank you. And that does conclude today's conference. Thank you for your participation.